Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded Wednesday, December 19, 2012. I would now like to turn the conference over to Kris Wenker, Vice President, Investor Relations. Please go ahead.
Kristen Smith Wenker: Thanks, operator. Good morning, everybody. So it's a week before Christmas, and our numbers are good. More on that in a moment. But first, if I could, I want to make sure you've gone to our website. We put slides there that shed some additional light on the progress we've made through the 6 months to date. Our release is there, too. If you found them, that's great. We do plan to make comments on the future today. Slide 2 lists risk factors that could get in our way. Let me now turn you over to Don, Ian and Ken. I wish the happiest of holidays to you, your family and friends.
Donal Leo Mulligan: Thanks, Kris. Good morning, everybody. I'll second those holiday greetings, but I will keep my remarks to prose today. Thank you for joining us. As you see on Slide 4, our second quarter results are summarized there. Net sales grew 6% to nearly $4.9 billion. New businesses, particularly Yoki in Brazil and Yoplait Canada, contributed 4 points of net sales growth in the quarter. Segment operating profit grew faster than sales, up 10%, reflecting a higher gross margin and a 3% decrease in advertising and media expense in the period. All 3 of our business segments posted operating profit gains. Net earnings totaled $542 million, and diluted earnings per share were $0.82 as reported. Excluding certain items affecting comparability, our adjusted diluted EPS would be $0.86, up 13% from last year's second quarter. Slide 5 shows the components of our net sales growth. Pound volume contributed 7 percentage points of growth in the quarter. That's primarily the addition of Yoki and Yoplait Canada. Sales mix and net price realizations subtracted 1 point of sales growth. Foreign exchange had no impact on sales growth for the company in total. Slide 6 shows net sales growth by segment. For U.S. retail, pound volume and net sales grew 2% in the quarter. This performance was led by our Snacks, Small Planet Foods and Meals divisions. Net sales of our Bakeries and Foodservice business declined 1% with pound volume down 2% due to lower bakery flour sales. These sales declines on index-priced items offset gains on cereal, snacks and frozen breakfast items. International segment net sales rose 19% as reported and 22% on a constant currency basis with good growth across all 4 geographic regions. While these results do include contributions from Yoki and Yoplait Canada, our established businesses also performed well. Excluding new businesses and foreign exchange, international sales increased 4% in the quarter. Our gross margin improved 120 basis points in the second quarter as reported. This includes the impact of mark-to-market valuation for certain grain inventories and commodity hedges we'll use in future periods. Slide 7 also shows that excluding these effects, underlying gross margin improved 20 basis points, primarily due to lower levels of input cost inflation, HMM and good plant operating performance. We expect our input cost inflation rate to tick up in the second half, reflecting the impact of this summer's drought. So we expect to be at the high end of our 2% to 3% inflation estimate for the full year, and we're now roughly 90% covered on our commodity needs for fiscal 2013. Slide 8 shows second quarter profit growth by operating segment. U.S. retail posted a 9% increase, driven primarily by lower input cost inflation and consumer marketing expenses below year-ago levels. International profit increased 4% in the quarter. This includes an expense of $17 million associated with the transition of the Yoplait yogurt license in Canada. Remember that this investment was built into our fiscal 2013 guidance. Excluding this expense, international operating profit would have increased 17% in the quarter. And Bakeries and Foodservice profit grew 24%, reflecting lower wheat costs year-over-year, favorable mix and increased grain merchandising earnings. Earnings from joint ventures increased 14% in the second quarter to $33 million after tax. On a constant-currency basis, CPW sales increased 3%, with strong performance in the emerging markets partially offset by category softness in southwestern Europe. Constant currency sales for Häagen-Dazs Japan grew 5%, led by new products. Completing our review of the income statement, corporate unallocated expenses excluding mark-to-market effects were $79 million. That's above last year's second quarter, primarily due to increased pension expense. The effective tax rate for the quarter was 32.6% as reported. Excluding items affecting comparability, the effective tax rate was 32.8% compared to 33.7% a year ago. This primarily reflects the timing of expense -- of tax expense for the year. We're still estimating our full year underlying tax rate at about 33%. Turning to the balance sheet. Slide 11 shows that core working capital increased 8% in the quarter. The majority of the increase is the addition of Yoki. Excluding the impact of Yoki, core working capital grew modestly in the quarter at a rate less than sales growth. Through first half, cash flow from operations exceeded $1.3 billion, a 14% increase over last year. Capital expenditures totaled $264 million through the first half, generally matching year-ago levels. We expect full year capital spending to be comparable to last year as well. We're returning more cash to shareholders this year. Through the first half, we’ve paid $434 million in dividends. That's up 9% over last year, reflecting our dividend increase. We also repurchased approximately 12 million shares of common stock for a total of $479 million. That's more than twice the value of share repurchases in last year's first half. In the second quarter, average diluted shares outstanding decreased by approximately 1 million shares. And for the full year, we continue to target a net reduction in average diluted shares outstanding. Slide 13 summarizes our financial performance through the first half of the fiscal year. Net sales grew 5%. Segment operating profit grew faster than sales, up 8%. Net earnings attributable to General Mills totaled more than $1 billion, and diluted earnings per share were $1.64. Excluding items affecting comparability, our adjusted earnings per share totaled $1.52, up 8% from a year ago. These first half results are ahead of consensus expectations and a bit ahead of our plans, too. This good start puts us firmly on track to achieve our key financial targets for fiscal 2013. For the full year, we expect to deliver mid-single digit growth in net sales, including growth for our established businesses and contributions from new businesses. We expect operating profit to grow at a mid-single digit rate, too. We now expect input cost inflation of 3% for the year, including some impact from this summer's drought in the second half. We're also anticipating possible currency devaluation in Venezuela. Including these factors, we're raising our EPS guidance a bit to a range of $2.65 to $2.67 per share. That's on an adjusted basis, excluding certain items affecting comparability. With that, I'll turn the microphone over to Ian Friendly. Ian?
Ian R. Friendly: Thanks, Don, and good morning, everyone. I appreciate the chance to give you an update on our U.S. Retail segment. Our top line trends improved in the second quarter. Pound volume stabilized in September and October and increased at a mid-single digit rate in November. Net sales for the quarter increased 2%. The acquisition of Food Should Taste Good, combined with solid established business performance, drove double-digit growth in our Small Planet Foods division. Sales for our Snacks division also increased at a double-digit rate, led by strong product innovation. Progresso soup and sauces paced growth in our Meals division. Sales for our Frozen Foods division matched year-ago levels, while Baking and Big G divisions sales declined modestly. And while U.S. yogurt sales declined, clearly the rate of decline is moderating. I'll provide you with more details on that in a few minutes. As shown on Slide 17, our second quarter U.S. retail performance reflected good sequential improvement. Volume, net sales and segment operating profit performance all improved versus the first quarter. We've got a number of great initiatives in the market right now, with more planned for the back half of the year. I'll highlight a few examples, starting with some of our seasonal favorites. The holidays are in full swing, and we're helping consumers bake up some favorite treats. On our refrigerated dough business, our Let The Making Begin campaign is designed to inspire consumers. Response has been terrific. Baseline sales have increased for both Pillsbury crescent rolls and biscuits since we launched this campaign in October, and we added over 0.5 points of market share in November. And Betty Crocker is back with her red hot holiday trends. Tips for making a perfect 18-layer velvet cake, hidden-surprise cookies and many other recipes are available online at bettycrocker.com. This campaign helped drive over 1 full point of desserts market share growth in November. Soup season is underway, too, and Progresso sales are growing. Our new line of recipe-starter sauces is off to a good start. However, the primary driver of our year-to-date performance is our core ready-to-serve soup business. We've added points of distribution, and we've increased investment behind our taste-focused advertising. In total, first half Progresso retail sales increased 7%, and we added 1.5 points of market share in the ready-to-serve segment, including 0.5 share points in the second quarter. Progresso has some great marketing and merchandising events planned for the second half of the year. We're partnering with both Weight Watchers and The Biggest Loser TV show to help consumers shed those extra holiday pounds. Our plans include strong advertising and in-store merchandising, as well as product placement in an upcoming Biggest Loser episode. With the holidays here, consumers are making party mix snacks with our Chex cereals. This year, we're sharing recipes for the microwave, so these snacks are ready in just minutes. We're supporting this annual campaign with a strong combination of digital media and in-store merchandising. And on top of this party mix activity, Chex gluten-free positioning continues to drive growth. In total, first half retail sales for the Chex franchise rose 14%. We've got a strong second half innovation lineup for our cereal business. I'll start with Cheerios, the largest franchise in the U.S. cereal category with a 13% share of total category sales. Honey Nut Cheerios is the single largest brand in the cereal aisle. We're expanding it in January with the launch of a Medley Crunch variety. This new cereal has the heart health benefits and great taste consumers expect from Honey Nut Cheerios. It also has that great texture with O’s, clusters and flakes. We think this is a terrific addition to the Cheerios franchise. Slide 22 highlights our Cascadian Farm organic cereals. First half retail sales for this line increased 13%. Cascadian Farm is the #1 granola brand in America, organic or otherwise. The ancient grains variety we launched in June is off to a good start. And next month, we're adding a berry cobbler variety. We're adding new variety in some of our other popular cereal brands, too. Fiber One 80 Calorie chocolate cereal offers consumers 35% of the adult daily value of fiber and great chocolate taste at just 80 calories per serving. And new Peanut Butter Toast Crunch builds on the success of our Cinnamon Toast Crunch franchise. Now I'm sure you noticed that our first half cereal net sales and market share were below year-ago levels. Other players in the category had more merchandising activity in the first half of the year. We've got more merchandising planned for the second half, including introductory support for our new items. With a great lineup of new products and strong levels of marketing support behind new and established brands, we remain very excited about our U.S. cereal business, and we expect sales growth for Big G in the second half of this year. Turning to the yogurt aisle. We are encouraged by recent trends on our Greek business. Yoplait Greek 100-calorie yogurt was launched in August. Distribution is ramping up nicely, and all 6 SKUs are turning in the top third of the total yogurt category. Our marketing campaign and dedicated advertising are now in market and on air, and we are pleased with the initial results. In fact, Yoplait's share in each of the most recent 2 months was 9% of Greek segment sales. It is still early days for U.S. Greek yogurt, and we expect to earn our fair share of this market segment over time. At the same time we're gaining share in Greek, we continue to see signs of stabilization for Yoplait Original and Yoplait Light yogurt, what we call our core cup business. Remember that we improved these products, and our merchandise price points are now better aligned with competitive levels. As shown on Slide 26, we're seeing a nice improvement in core cup unit volume turns as a result. We've also launched innovative new items. Fruplait has 2 times the fruit of original Yoplait, while Simplait is made of just 6 all-natural ingredients. We have more new products coming in the second half to keep this momentum going. We're launching new flavors of Yoplait Greek 100. New Yoplait Pro-Force brings a combination of higher protein and great taste to the kids segment, and we're bringing new level of fun to the leading brand in the kids segment with Go-GURT's Twisted. Our second half plans also include regional expansion of Liberté Mediterranean, an indulging yogurt with higher fat content, and the addition of Liberté Greek. We'll support both product lines with a combination of digital and billboard advertising along with product sampling efforts. So we expect to see increasing momentum across our U.S. yogurt business in the second half of this year. In grain snacks, we continue to lead category growth with great product innovation, and we plan to build on that record in the second half. Slide 28 highlights several examples. We'll be expanding our Fiber One franchise with the launch of Fiber One protein bars. They have at least 6 grams of protein per serving and 20% of the adult daily value for fiber at 140 calories or less per bar. We're adding new varieties to our Nature Valley and Cascadian Farm product lines. We're also launching Green Giant vegetable chips. These chips contain at least 16 grams of whole grain per serving. And with flavors like multigrain sweet potato and roasted vegetable zesty cheddar, they really taste terrific. We continue to see strong performance by our natural and organic snacks. First half retail sales for LÄRABAR, all-natural fruit and nut bars, increased at a double-digit pace. And we gained market share in the health and nutrition bars category. In January, we're adding a cappuccino flavor to the LÄRABAR lineup. Our new Food Should Taste Good business is also doing great. We’ve focused on expanding distributions for these great-tasting snacks. Fiscal year-to-date shipments are up double digits. By leveraging General Mills sales and supply chain, we expect continuing distribution gains for this business over the balance of the year. Across our U.S. retail business, we have strong levels of marketing and in-store merchandising supporting our brands. As we have discussed with you before, our spending this year is weighted toward in-store merchandising. This promotional support is designed to drive awareness and trial for all of our new products, and we've sharpened our merchandise price points for certain product lines based on competitive merchandising levels in those categories. These actions are working for us. Our U.S. advertising expense is below strong year-ago levels through the first half, and we now expect our media expense to be down for the year in total. This is due in part to this year's tactical shift on merchandising. It also reflects ongoing cost discipline, which helps us lower media expense while maintaining very competitive media pressure against the consumer. In fact, as we look at Cantor-measured media spending across our U.S. categories over the latest 12 months available, our tracked advertising dollars are up and at a rate well above the 1% growth in ad spending across our categories overall. So our share of voice with the consumer has been growing. Across all of U.S. retail, we're launching over 100 new products in 2013, but it's not just quantity that matters. We're excited about the quality of our new product lineup. So we like our prospects for growth in U.S. retail over the balance of 2013. With that, let me wrap up my overview of General Mills' U.S. retail business. We're encouraged by the recent trends we see in the operating environment. Across the U.S. food and beverage industry, volumes have improved as pricing has moderated. We have terrific product innovation in market, and we're supporting our brands with strong levels of in-store merchandising, advertising and other consumer-directed marketing. We're on track to meet our low-single digit sales growth target in 2013 and are continuing HMM initiatives and cost management discipline of protecting our margins. So we expect our operating profit to grow faster than sales for the year. Thank you for your time this morning. I will now pass the microphone over to Ken.
Kendall J. Powell: Thanks, Ian, and good morning, everyone. You just heard Ian describe some of the product innovation and marketing efforts we have underway in U.S. retail. And I want to give you now an update on the other 2 segments, starting with Bakeries and Foodservice. As you can see on Slide 34, net sales for this segment are down 2% through the first half. That's primarily due to negative price realization. We had lower bakery flour prices in the first half. However, first half operating profit is up 18%, driven by lower wheat costs in our cost of goods, favorable mix and grain merchandising earnings. This 18% profit growth builds on a strong track record of earnings growth for this segment. Over the past 5 years, segment operating profit has grown at a 14% compound rate. Grain merchandising activities have played a part, but primarily, this growth reflects our strategy of focusing on the most profitable products in the fastest-growing foodservice channels, and we continue to follow this winning strategy in fiscal 2013. For example, our sales to U.S. convenience stores are captured in this business segment. We have a great lineup of new snack products hitting C-store shelves, including Nature Valley protein bars, Gardetto's snack crackers and Betty Crocker dessert bites. We're launching Yoplait Greek 100 yogurt in a variety of foodservice outlets, and we recently introduced a Greek version of Yoplait ParfaitPro. As you can see on Slide 36, this product gives foodservice operators an easy way to prepare layered yogurt parfaits. Sales for Yoplait ParfaitPro have been growing nicely, and the addition of a Greek variety will keep the momentum going. Sales for our frozen breakfast products are increasing at a double-digit pace, led by our line of Pillsbury breakfast items in school cafeterias. And we recently introduced a mini cinnamon roll in Burger King restaurants nationwide. Turning to our international segment. First half net sales are up 22% as reported, including new businesses. Segment operating profit is up 24%, including a 3% increase in media spending. On a constant-currency basis, first half international sales are up 28%. We're posting good growth across all of our geographic regions. Sales in Canada are up 21%, reflecting the addition of the Liberté and Yoplait yogurt businesses. In Europe, sales grew 23% with good performance on the Yoplait, Häagen-Dazs and Nature Valley brands. In the Asia Pacific region, our business in China is showing 13% constant-currency sales growth. And in Latin America, sales have doubled year-to-date, reflecting the addition of Yoki. So let me say a bit more about each of these regions. In Canada, we're excited about the growth opportunities for yogurt. Category sales are up 9% so far this fiscal year. Our Liberté and Yoplait brands combined represent 1/3 of this $1.4 billion market. We assumed the license for Yoplait in Canada in September. In the short term, we did experience some disruption in the business as the previous licensee transitioned to co-pack Yoplait while also launching their own yogurt product. Now that much of that disruption is behind us, we're launching our first innovation in the market with a 50-calorie Greek yogurt offering, the first of its kind in the Canadian market. Liberté yogurt continues to perform well. The brand now holds a 10% dollar share of the yogurt category, gaining nearly 2 points of share year-to-date, with retail sales up 35%. We'll invest behind both the Yoplait and Liberté brands with increased advertising and new product introductions in the second half. Our yogurt business in Europe is also performing well. In France, we have launched new varieties of Calin. This is a yogurt high in calcium, and we've introduced a Greek-style line extension. We've expanded these products to the U.K. market, too, and we're supporting both new and established yogurt products with higher levels of advertising. In total, our year-to-date retail sales in both markets have increased at a mid-single digit rate. Also in Europe, we're seeing good growth on Häagen-Dazs. Year-to-date retail sales are up 15% on this business. Nature Valley snack bars are growing nicely, too. Retail sales are up 33% so far this year, and this includes the recent launch of Sweet & Nutty bars in the U.K. We see great opportunities to increase household penetration for our brands in Europe, and we continue to like our growth prospects in this region. In China, we're on track to deliver another year of double-digit sales growth. Our Häagen-Dazs team just completed a terrific mooncake event. In total, net sales for Häagen-Dazs are up 20% through the first half of the year. Sales for Wanchai Ferry frozen foods are up 6% year-to-date. We’re increasing distribution on existing products and expanding into high-growth segments like wonton, mantou and frozen noodles. While the overall Chinese economy may be slowing a bit, the demand for branded consumer food products continues to expand. For our business, we're seeing good growth in both existing and new cities. In Latin America, the highlight is certainly our Yoki acquisition. Our new brands have strong positions in Brazil with the Kitano and Yoki brands in more than 70% of Brazilian households. We're posting double-digit sales growth in some of our largest categories, including popcorn, seasonings and side dishes. Let me also say a quick word about our Cereal Partners Worldwide joint venture. Through the first half, constant currency net sales were up 2%. We're leveraging our large core brands like Chocapic and Cheerios, and we recently launched Chocolate Cheerios in the U.K. The cereal category is posting growth in markets around the world. While there is some category softness in southwestern Europe, sales in other established markets like the U.K. and Mexico are up. And the category is growing even faster in emerging markets in Latin America and Asia. CPW holds a 23% value share of the cereal category outside of North America, and we continue to like the growth prospects we see for this venture. So with that, let me summarize today's update on fiscal 2013. We had a good second quarter and first half, fueled by strong operating profit gains across all 3 segments of our business. As we look ahead to the second half of the year, we've incorporated a bit more input cost inflation and an expectation of currency devaluation in Venezuela, and that's built into our outlook. Our second half plans also include a very good slate of new product introductions and robust marketing and in-store merchandising plans designed to support both new and established products. And our full year EPS guidance is up a bit to a range of $2.65 to $2.67 for fiscal 2013. Let me briefly shift from talking about the fiscal year to the calendar year. As we get ready to ring in calendar 2013, the operating environment and, more broadly, the global economic environment, present a great deal of uncertainty. But to be frank, 2012, the calendar year just ending, was no walk in the park either, and yet our brands and our business continued to grow. As shown on Slide 46, over the last 4 quarters, our sales grew with contributions from established product lines and new businesses. Our sales outside the U.S. grew even faster, consistent with our strategy of expanding our business in developed and emerging international markets. Our operating profit increased 7% to exceed $3 billion, and our earnings per share grew, despite headwinds ranging from sharply higher input costs to low interest rates and the resulting impact on calculated pension expense. Our operations generated more than $2.5 billion of cash over the past 4 quarters and a 23% increase from the prior year. Cash return to shareholders through dividends and share repurchases grew 21% to exceed $1.4 billion. And we generated an 11% total return to shareholders over this same time period. So as I've said before, in challenging times, it's good to be in the food business, and we're committed to generating another good year of growth for our business and to create value for our shareholders again in calendar 2013. So that concludes our prepared remarks this morning. So operator, I will ask you to open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Andrew Lazar with Barclays.
Andrew Lazar - Barclays Capital, Research Division: I'm sorry upfront I can't pose my question in a more creative poetic form, but I'll give this a shot. Just wanted to touch briefly on sort of the price mix outlook for U.S. retail as we go into the second half. Pricing was flat...
Kendall J. Powell: Could you repeat that, Andrew?
Andrew Lazar - Barclays Capital, Research Division: Sure. I wanted to touch on price mix for U.S. retail in the second half. Pricing was flat in the second quarter, down sequentially from up 1 in the first quarter, I believe. And obviously, you're lapping some pricing, and you've got your increased focus on some key price points in certain categories that you've discussed. Would you anticipate price remaining flattish in this segment in the fiscal second half as you still have inflation to deal with? Or is there a concern or plan that price mix could turn even modestly deflationary, given the positive volume response you're seeing in response to your strategy?
Ian R. Friendly: Andrew, it's Ian. I think, over the entire portfolio, we'd expect it more to be relatively stable over the second half. There may be some select categories where it will be modestly down, primarily in categories where our merchandising efforts are more back-half loaded. But I think the general trend for us would be relatively flat.
Andrew Lazar - Barclays Capital, Research Division: Got it. Okay. And your -- I mean it's hard to say, but your anticipation of kind of what you're seeing more broadly in the space around -- as the industry starts to lap some of the pricing, we're seeing volumes come back a bit, which is probably nice to see on a bunch of different fronts. But so far, would your anticipation be that the industry is still likely going to have some inflation, that there's a general sort of rational behavior, as best you can tell? I know it changes a lot by category.
Ian R. Friendly: Yes. What we're seeing still is, I think, over the entire category through December and what I expect in the second half as well is very modest but inflationary trends, both on the consumer prices as we see it so far. And also as you look at input prices, I think some of the impact of the drought will obviously weigh on all competitors' minds as we look at what can be done in the market. So I think stability to very, very modest inflation is probably a decent outlook.
Operator: Our next question comes from the line of Eric Katzman with Deutsche Bank.
Eric R. Katzman - Deutsche Bank AG, Research Division: Couple of questions. I guess, first one, lob this one in to Don. A number of your competitors have changed their pension accounting to mark-to-market, and that's been pretty materially beneficial to their reported earnings. I recognize it's not necessarily a cash item near term. But do you have any estimate on what if General Mills were to go to a mark-to-market approach, what that would do to your -- roughly, what that would do to your reported EPS?
Donal Leo Mulligan: Eric, I appreciate the questions. I don't have any figure for you on that regard. We are very satisfied with our pension accounting. We try to be very clear externally in terms of what is moving that expense number. And obviously, we make clear, as you alluded to, that it's a noncash number. And so we'll continue to provide that clarity, but we have no plans at this time to change our reporting practices.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then with the -- I guess, then to switch over to just Yoki for a second. With the devalue -- or with the Brazilian real depreciation and I guess maybe the expectation of Venezuela now devaluing that you've put in, are you -- I guess, how much of a drag -- between the Yoki dilution and then the deval, how much of a drag is that on earnings this fiscal year?
Donal Leo Mulligan: Well, let's separate the 2 because with Yoki, it would strictly be translation. And our total expectations for foreign exchange is, year-to-date, it’s been relatively neutral on EPS, and we don't see that necessarily changing as the year unfolds for our total portfolio. Venezuela is a different issue. Because of the accounting treatment for a hyperinflationary country like Venezuela, there's a balance sheet implication as well. And so as we've seen consensus analyst estimates of what that devaluation will be --it's estimated in the range of 45 to 50 from the studies that -- 45% to 50% from the studies we've seen and that it’s again expected to happen sometime in early calendar 2013, we've estimated the impact to us and factored that into our outlook, and it will be a couple of cents drag on our EPS this fiscal year.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And so no -- I don't know, maybe I missed this, but no change to what Yoki's dilution was initially expected?
Donal Leo Mulligan: No.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. And then last question, I'll pass it on. I guess, to Ian. You noted that the yogurt, I guess, retail sales were down 5, and yet you had a fair amount of positive commentary and slides that showed improvement. Is the difference between what I assume is better volume -- you took a price cut on core Yoplait. Is that why the dollar sales are down?
Ian R. Friendly: Indirectly, Eric. The thing that we restored was merchandising at our traditional price points on Yoplait. So it wasn't a price list reduction. But effectively, on our core cup business, it is getting our prices back in line with the competitive set. And so as you noted, that has an impact on the dollar side and a very positive impact on the unit side.
Eric R. Katzman - Deutsche Bank AG, Research Division: Okay. So a couple of points. Basically subtracting from promotion from the sales, but volume was -- was volume flat or up in yogurt? Could you say?
Ian R. Friendly: I could tell you it got progressively better in yogurt. And as I showed on the chart, our turns, which is net of distribution, our turns became nicely positive on our core cup business.
Operator: Our next question comes from the line of David Driscoll with Citi Research.
David Driscoll - Citigroup Inc, Research Division: Wanted to ask a little bit more about U.S. volume trends. You guys have a lot of categories and a lot of insight into the U.S. grocery market. When you think about the year-ago period where we had such a warm winter on your -- and maybe the effect on the soup operation, are you seeing evidence that would suggest that we will continue to see a real positive trend line in terms of the progression of volumes maybe for the next couple of quarters, part of it being related to the year-ago winter, maybe another part of it simply related to how weak volumes were across U.S. grocery over the past maybe 5 or 6 quarters? So any thoughts there would be helpful.
Kendall J. Powell: David, it's Ken. So Ian says I get to start this one. But -- so it wasn't -- I mean, the weather last year was certainly or likely a factor for soup sales because we know that, that's a little bit weather-related. But by far, the dominant factor over last year was the pricing that we began to take early in the calendar year, which had all the effects that you're very well aware of. We had high inflation, we took very significant price increases, and that resulted in a volume impact across many of our categories. And so that was, I think, the big event of our last fiscal year. And as we adjust those prices tactically, as we said in the presentation, really to restore the gap where it needed to be restored, we're seeing those businesses respond as we thought that they would. We're seeing baselines strengthen, and we're getting the merchandising lift as well. So it's really more about the pricing and inflation dynamic of the last 2 years that is driving the fundamental trends in our categories.
David Driscoll - Citigroup Inc, Research Division: Then just one follow-up on cereal. Can you comment on your strategies in terms of -- historically, I think General Mills has been very, very good at introducing cereals that really had high value to them. They really -- you’re really not focused on competing at the low end of the market. And just given where some of your competitors have gone, is there any need for you to rethink that strategy, given the consumer environment, what your competitors are doing? Or do you still want to really put the new products out there that are margin-positive to the cereal franchise? Is that still the core of how we should think of General Mills?
Ian R. Friendly: I think our strategy hasn't been so much a high-priced one. It's been in the value-added area. But cereal overall represents such a good value to the consumer. I think it really gets down to, "Are the benefits relevant?" But again, if you look at the price point of our various Cheerios extensions, I think you'd see that they're very competitive within the category. So we don't look at that lens. I don't view that we need to be in ultra-discounted cereal products. But at all times, we're very cognizant of making sure our new cereals represent a good value and in line with the rest of the category. We're not really trying to stretch it up either.
David Driscoll - Citigroup Inc, Research Division: I suppose, Ian, the only thing I know is that the average price of the General Mills cereal portfolio is the highest of the major cereal producers. So I always think of you as much more of a value-added cereal maker, and I’m just trying to assess if there was any change in the strategy given the trends…
Ian R. Friendly: Not really. I mean, that's always been true, and some of that has to do with -- historically, with portfolio makeup because we were in a bit light -- because a lot of our portfolio is Cheerios, which is based in puffed products, which those analyses tend to be done on a weight basis. And so in general, it's always shown us to be a bit more higher priced per ounce. But I would say that's a historical legacy, not anything we're trying to push one way or the other.
Operator: Our next question comes from the line of Matthew Grainger with Morgan Stanley.
Matthew C. Grainger - Morgan Stanley, Research Division: So for Don, I guess, just a few questions or clarifications on the full year outlook. You mentioned mid-single digit sales growth for the full year, and when you've talked about that in the past, you've characterized it as being excluding Yoki and Yoplait Canada. Is that still intended to be a base business sales growth number or overall? And I guess, the second question would just be when we think about the favorability to numbers in the second quarter, can you give us any more granularity on perhaps what's the prize to the upside versus your original expectations? And given that you're not raising or expanding the range that much for the full year, what are some of the headwinds beyond Venezuela and inflation that we should take into account? Is it lower gross margin than perhaps we may be thinking of or just the phasing of marketing spend?
Donal Leo Mulligan: Sure. I'll touch on both of those, sales first. The sales guidance is all in. If you look at our trends year-to-date and then look at the balance of the year, we see our full year expectation at mid-single digits for total company sales. As far as our performance in the first half, as we mentioned, we did slightly outperform our plan. A few factors drove that. Clearly, the international momentum that we've seen has been -- continues to be very robust. Our Bakeries and Foodservice business, particularly the mix of products and channels that we're selling, was favorable to our expectations. Across the company, we knew it was going to be a challenging year, and I think everybody has just kind of made sure, from an expense standpoint, we've managed that appropriately. That’s had some benefit. And then interest rates and tax rates have played in our favor. Interest rates because of the market, tax rates because of some timing of discrete items that we have every year that we had baked into our full year forecast with some other favorable items hit earlier in the year that we had anticipated. So those are a number of factors that ended up accumulating to a favorable result in the first half. In the second half, we've noted a couple of things. One, inflation will be higher than our original expectations. That's backloaded because we had some hedge positions that covered us in the front half, but the drought costs from last summer we'll start seeing come through in the second half. So you'll see gross margin -- we'll see some gross margin pressure. Tax rates, again, we're -- we had -- from a phasing standpoint, we had some favorability in the first half that will normalize in the second half, and still, we’ll get to our 33% tax rate for the full year. And then, as I mentioned, the devaluation of the bolivar, which is -- will be a couple of cent drag in the back half as well. So kind of take that all into consideration, that gives us confidence to increase our guidance by the -- increase the range up to plus $0.02 from our original guidance.
Matthew C. Grainger - Morgan Stanley, Research Division: Okay. And just 2 really quick follow-ups. If the sales number is all in, does that imply that international is lower than your original expectations or that the acquisitions are less incremental? And then on the interest expense, is this quarter's number sort of a run rate going forward?
Donal Leo Mulligan: I wouldn't point to any one area. Certainly, our -- the new businesses that we're bringing in are coming in just as we planned, so I certainly wouldn't highlight those. It's a tough environment, and we’ve set some -- we thought were reasonable sales plans. We're delivering largely against those. But we're -- it's a little bit short on the top line, but we're ensuring that the bottom line comes in. That's what I'd say about there. In terms of interest rates, we came to the year assuming that all in, they'd be up a bit. It is likely that it is -- on a full year basis, our interest expense will be down a little bit year-over-year. And again, that's attributable to both the timing of any long-term issue we do, as well as the marketplace rates.
Operator: Our next question comes from the line of Jason English with Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: Innovation. I wanted to talk quickly on innovation. You've brought a very large slate to the market recently, and you're highlighting some new items that are going to come in January, many of which look fairly compelling. I think in the past you've talk about innovation as a percentage of your sales on a rolling 3-year basis. Can you update us on where you stand for that metric now and how it's been trending recently?
Ian R. Friendly: Yes. This is Ian, Jason. As it relates to at least the U.S. portfolio, and I don't think it's too different for the company, but I'll let Ken comment on that, we target somewhere between, on an annual basis, 4.5% to 5%, so that's what we typically talk on an annual. But if you want to do 3 year, you could multiply that out. And we're right on track with that. In fact, our -- I would say our percent of business coming from new products has been pretty strong and robust for us, and so that is generally where we want to be. And Ken, I don't know if there's a statistic you want to quote for that.
Kendall J. Powell: No, no. 4% to 5% is what we target, and we think we'll be very much in that range, Jason. I mean, we're also very focused on -- another metric for us is incrementality. So we want to make sure that we're launching products that are bringing new consumers into their franchise, and we're -- we've steadily improved that number. Margin is another key metric for us, and we want to make sure that the business model is sound for all the new products that we're launching. And so we have very good metrics and discipline about the quality of the new products that we launched, and we're very much in the range. And as you said, we're pleased with what we launched in the first half. We like what we've got in the second half. We think the new cereals, Honey Nut Medley Crunch, we think, will be very good. The new Fiber One product we think is good. We're very happy that we're going to be bringing 2 more new flavors to Yoplait Greek 100. As you heard Ian mention, that is off to quite a nice start, and consumers love variety in the yogurt category. So we're getting back to them as quickly as we can, and so it offers them variety. It will also give us increased visibility and holding power at the shelf. So that becomes a virtuous cycle for us. So we're generally pleased with our new product performance so far this year and have -- we'll be continuing the momentum here as we go into the second half.
Jason English - Goldman Sachs Group Inc., Research Division: Just to make sure I understand that metric, does that only account for the contribution from the current year initiatives? Or does it also account for the leakage from any erosion on last year's launches as you lap them?
Donal Leo Mulligan: It's really the launch -- it accounts for the launch within that year.
Kendall J. Powell: It also does account, Jason, for erosion, so it's a net impact, not the total impact.
Donal Leo Mulligan: Yes. It's an incremental number. And with erosion, if you wanted to accumulate it over a 3-year period, it would be in the low-double digits. It's going to be 4% to 5% a year, and if you do it over 3 years, it's going to be in that kind of 11%, 12% range.
Operator: Our next question comes from the line of Chris Growe with Stifel, Nicolaus.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: I just had 2 questions for you. The first one, if I could ask maybe, of Ian, on the Yoplait business. I wanted to ask about -- you've really stabilized the market share, that's as we track it from IRI or Nielsen, and you certainly have some developments on core cup and good developments on Greek. So I wanted to ask if you expect your sequential market share to continue to grow, especially as more of these products go into the market. And then related to that, do you foresee Yoplait sales growing for the year in 2000 -- fiscal '13?
Ian R. Friendly: Yes. Well, thank you for that, and I suppose I should switch my data to IRI data because, at least from my standpoint, we haven't quite stabilized our share yet. But thank you for that. But it is getting -- what you said is quite true. It is getting sequentially better, and I expect it in the back half to continue to get sequentially better. It's a very volatile category. I think the jury is out. We'll have to look in May to see if -- for the year, how it all nets out. I would expect that every period in the back half gets better. As I shared in my remarks, our Greek business seems to be really gaining nice traction, and our core business is stabilizing well. So I'm guardedly optimistic around our share in the back half. But I think we're still kind of progressing from what had been a more challenging place. And the good...
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: If I could follow on -- I'm sorry.
Ian R. Friendly: Sorry, Chris. The other good thing that's important and hard to predict in some ways is all of this activity by us and competitors is a great stimulant for a very vibrant category growth. And so that will be the other variable in all of this is how quick the yogurt category grows, which I would expect should be pretty good.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just a quick follow-up for that, Ian, would be that would you expect the progress you're making in Greek with a lot of new products, as well as the progress in core cup, any one of those to be the bigger driver of your sequential share progress? Is one opportunity bigger than the other?
Ian R. Friendly: Well, in the case of core cup, I think it's more about stabilizing because that has been losing share as Greek came to the market. It had to come from something, and it came from the largest player, which was our core cup business. So stabilizing that, I think, prevents the minus, and I think the plus comes from the innovation, which is largely in the Greek category, although not entirely.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: All right, okay. And then quick follow-up, Don, for you. Can you say what inflation was year-to-date? Just to give a little perspective on the degree of inflation for the second half, we can kind of back into that then roughly. Is it possible to talk about that?
Donal Leo Mulligan: It would be a little bit below our full year projections in the first half, not tremendously below, but slightly below.
Operator: Our next question comes from the line of Robert Moskow with Crédit Suisse.
Rachel Nabatian: It's actually Rachel in for Rob. So my question is on the soup and cereal categories, which seem to have been more rational in recent months with innovation and less promotion. So what's your visibility on that into 2013? And do you think we've found new equilibrium here where there could be more category and volume growth?
Ian R. Friendly: Well, this is Ian. On -- let me separate those 2. We're delighted with the soup category. Our business is strong. We focused fairly hard on part of the category -- the growing part of the category, the ready-to-serve part of the category. And we do think it's pretty rational, and it's about providing consumers great-tasting products and benefits. And we do think it's fairly rational in how it's playing out, and we're seeing a lot of strength in our business. So very pleased with that part of the soup category. Cereal is also, I would say, largely rational. It was a bit more promotional in the first half in terms of frequency of promotion, but I wouldn't characterize it as irrational. And as I said earlier, I think given the cost structure of the grain complex from the drought last year, I think it will remain highly rational in the back half. And it is good to see, I think, the major competitors bringing good innovation to market and competing largely on that basis.
Rachel Nabatian: That's good to hear. And then just I have a follow-up. I was curious to hear your strategy on the Frozen Food category. It seems to have been challenging for competitors and then for frozen pizza in particular. So with that category, on one hand, there's frozen vegetables, which have more of a health and wellness aspect, and then there's frozen pizza, which has the benefit of targeting value seekers. So on which end of the spectrum would you say that you guys are planning to focus?
Ian R. Friendly: Well, I think in frozen, it's such a big area of activity. It's been a part that has been slower at retail this past year, to be fair, across frozen. But you really have to almost look at it segment by segment to talk about what's going on. And then I think you've characterized it reasonably well. For us, the vegetable part, it's a very big category, a bit lower growth, but the innovation, when it comes through, helps a lot, and it’s very much on trend, which is a good thing. Other parts, pizza, we're the leading seller of -- in terms of volume of pizza in the category. We compete in just one part of it. And it's on the value side, which is kind of in sync with the times. And then we have other kind of very targeted things like frozen hot snacks, which we had a terrific first half on. And so that just got down to good items, good marketing that resonate with the consumer. I don't know if there's a category trend on it.
Operator: Our next question comes from the line of Ken Zaslow with BMO.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Ian, I had a question just on the cereal category. When you look at like a Lucky Charms, not getting too particular, you put some advertising spending behind it. It looked like it moved very substantially on that. So I guess my question is how do you decide on which cereal brands to support? Because it seems like when you do support them, you actually get movement. And maybe if you supported it or got more advertising dollars behind it, there would be more brands that moved because Lucky Charms seem to be moving nicely with a little brand support.
Ian R. Friendly: Well, that is -- the cereal category has always been highly responsive to consumer marketing support and good ideas, as trite as that might sound. And that's kind of what we look at. We do a lot of upfront research. We do a lot of in-market experimentation and analysis, and we try and put our money behind our best ideas. And it's a brand-by-brand kind of activity. And you're quite right. I mean, we're seeing some very nice progress on a variety of our brands around great consumer ideas. And when we have them, we do put the pedal to the metal without a doubt.
Kenneth B. Zaslow - BMO Capital Markets U.S.: But is there room for you to put more advertising dollars behind more brands like almost -- not reactivate certain brands, but really -- because Lucky Charms is not a brand that had innovation as much but more -- it seems like it was more advertising behind it, and it seems like there might be opportunity to do with more brands. It's kind of...
Ian R. Friendly: We, in the past -- we, a few years ago, put advertising behind Multi Grain Cheerios after many years and saw that thing take off like a rocket. The Lucky Charms story has also got something to do with finding additional targets. So advertising a lot of these previously kid-targeted brands also to the adult consumption, which they have very high levels of adult consumption, is true on Lucky Charms, true on Cinnamon Toast. And so yes, I think there are certainly many opportunities to add consumer support in the cereal category on different brands behind good ideas.
Kendall J. Powell: So Ken, I'll just -- since several people have -- a few people have asked about strategy in the cereal category and differentiation. I mean, they're very good questions and we like them, and they go to the heart of what we're all about. We have a highly differentiated line of great brands, and they are -- we know that they're responsive to advertising and to good ideas, and that's why our strategy really is so focused on capitalizing on that innovation, strengthening it, figuring out fresh new ways to talk about it because, as you point out, there are many examples in the category, all the time, of brands that have had fresh messages, and they really respond. So you're on the right point, and that's what we're very focused on doing.
Operator: And our next question comes from the line of Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: So just a couple of small follow-ups. On baking mixes, it's not a segment that we focus on very much, but this is obviously an important quarter for baking mixes with the holiday season. Could you maybe talk a little bit about what's going on in terms of price, volume and share dynamics there and what the outlook might be?
Ian R. Friendly: Yes. We -- our baking mix business is, so far, off to a really good start to the season. It is still, for parts of the portfolio, kind of midway in the season. And we had a really good November. I think you can see that in the data. And as I said in my prepared remarks around both our refrigerated dough business, it's been very responsive to the Let the Making Begin campaign, and our dry mix has also had a very good response to the marketing. So, so far, so good. We like what we're seeing, and it seems to be going well.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: And then as a quick follow-up on cereals. I've noticed a few articles about consumer concern about GMOs in, I guess, some of your larger brands. Is that having any major impact on cereal sales at the moment in your view?
Ian R. Friendly: We haven't seen anything really on the consumer side related to that.
Operator: And the last question will be taken from the line of Ed Aaron with RBC Capital Markets.
Edward Aaron - RBC Capital Markets, LLC, Research Division: I wanted to ask on cereal, so I can understand why the year would be kind of more back-half weighted just given the cadence of your merchandising programs. But I think you said on the last quarter that Big G, you thought, would be up in Q2. Was there a surprise this quarter relative to your expectations? And if so, would you attribute that more to category weakness or to competitive activity?
Ian R. Friendly: Yes, I'd say there was a little bit of a surprise in our Q2, not a lot. We expected Q1 to be down, which we, I think, talked about at the beginning of the year. We thought more of our promotional plan would start showing up throughout Q2. It started showing up largely towards the end of Q2 and going here into December. And so we're seeing cereal, as I commented, sequentially pick up. But we didn't quite get all that we expected. And again, it had a lot to do with just higher levels of competitive -- certain competitive frequencies in that particular quarter. It will all, I think, come out in the year. Primarily some of that stuff was pushed into December and into the back half for us. So it will be a different flow than we anticipated, but I would anticipate that by year-end it will pretty much be where we thought.
Edward Aaron - RBC Capital Markets, LLC, Research Division: And then my follow-up question on international. I think you mentioned that organic growth internationally was up 4%, which I think is maybe a little bit lower than where you'd been running. Do I have that right? And then if so, which businesses or markets might have contributed to some sequential slowing there?
Kendall J. Powell: I think it's a little bit behind.
Donal Leo Mulligan: Yes. The 4% that we reported in the quarter is not materially off where we were last year in the same mid-single digit range. But to the extent that there's any slowing, it's just on the margin.
Kristen Smith Wenker: Thanks, everybody. If there are still questions out there, please give me a call, and I'll try to get them answered for you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your line.